Operator: Good day, ladies and gentlemen, and welcome to the Innovid Second Quarter 2023 Earnings Call. Our host for today’s call is Brinlea Johnson, Investor Relations. [Operator Instructions] I would like to now turn the call over to your host. Brinlea, the floor is yours.
Brinlea Johnson: Thank you, operator. Before we begin, I remind you that today’s call may contain forward-looking statements and that the forward-looking statement disclaimer included in today’s earnings release available on the Investor Relations page also pertains to this call. These forward-looking statements may include, without limitation, predictions, expectations, targets or estimates included regarding our anticipated financial performance, business plans and objectives, future events and developments. Changes in our business, competitive landscape, technological or regulatory environment and other factors could cause actual results to differ materially from those expressed by the forward-looking statements made today. Our historical results are not necessarily indicative of future performance, and as such, we can give no assurance as to the accuracy of our forward-looking statements and assume no obligation to update them except as required by law. In addition, today’s call will include non-GAAP financial measures, including adjusted EBITDA and adjusted EBITDA margins. We use these non-GAAP measures in managing the business and believe they provide useful information for our investors. These measures should be considered in addition to and not as a substitute for our GAAP results. Reconciliations of the non-GAAP measures to their corresponding GAAP measures were appropriate, can be found in the earnings release available on our website and in our filings with the SEC. Hosting today’s call are Zvika Netter, Innovid’s Co-Founder and CEO; as well as Tanya Andreev-Kaspin, Innovid’s CFO, who will participate in our Q&A session. With that, I’ll turn the call over to Zvika to begin.
A - Zvika Netter: Thanks, Brin-lee, and thank you all for joining the call today. I’ll begin with some thoughts about the second quarter and some recent business updates and highlights. Our CFO, Tanya Andreev-Kaspin, will provide details on our Q2 performance and our updated guidance, followed by Q&A. I am pleased to report we delivered strong second quarter, positioning us for a solid full year of 2023. We exceeded our prior guidance for both revenue and adjusted EBITDA and are raising our full year guidance. We are increasing our full year revenue guidance and are guiding to expected adjusted EBITDA margins of at least 10%. Looking at the quarter, our Q2 revenue grew 4% and we posted adjusted EBITDA of $4.5 million, representing 13% adjusted EBITDA margin. As we progressed in our plans to our improve profitability. Our Q2 results are evidence that we’re executing on our plan. We’ve remained focused on profitable growth and now improving the profitability profile of the company. During recent quarters, we have focused on integrating the acquisition of TV Square, realizing synergies in the business and making important operational cost improvements. Now for the first time since the acquisition, we are benefiting from the full impact of the post-merger integration and the full suite of our expanding product offerings. Our measurement offering, InnovidXP, helped fuel our growth this quarter, with top-line revenue growth up to 10% year-over-year, measurement were 23% of total revenue in the second quarter. We are excited about the ramp-up in measurement growth. Some of the growth is attributed to the deals we reported earlier in the second quarter with NBCU and Disney. Our partnership with NBCU Universal further solidifies our position as an advanced measurement solution built for the future of advertising in multicurrency marketplace. We can provide a unified cross-platform view of local linear and CTV’s advertising, alongside actionable metrics to meet advertiser and publisher needs across the ecosystem. Another win we expanded on this quarter was Disney advertising. We are enabling the measurement of outcomes such as app conversion and website visitation across Disney’s addressable footprint, giving both local and national advertisers, the tools and insights they need to inform and continuously improve their campaign strategies. We are also piloting measurement solutions with one of the largest publishers in the world, which we intend to launch in the second half. Turning to our overall growth. We delivered continuous CTV growth with impressions up to 11%. Innovid benefits as linear TVs continues to shift to CTV. This is a crucial part of our story. Even in a challenging market for ad spend by specific verticals, we were able to deliver growth because of our favorable secular trends in CTV and the critical nature of the technology we provide for our customers. Our growth this quarter was also fueled by new business closed, new accounts and cross-sell opportunities. We were having a great deal of success adding new customers and focus on deepening our relationship as clients activate more products. Our new wins and expansions include some of the largest auto brands such as Mazda U.S. and American Honda, and some of their largest global advertisers, including Microsoft, Otsuka Pharmaceutical U.S. and Pluto TV. We are also stressing our sales leaderships to fuel future growth. This quarter, we announced the hire of Dave Fahey as Vice President, Agency Partnerships, an industry veteran with tenure at Google. They will be responsible for driving strategic growth in our agency partnership. Most recently, we also announced the hire of Jeff Austin, as Senior Vice President of Revenue Operations; Jeff brings close to 20 years of experience in sales and revenue operations. Lastly, we are continuing our investment in new capabilities to power the future of television. Two areas where we’re see incredible potential as data-rich business given the adoption of AI to help marketers discover the value from insights, creative optimization and measurement. and inputting more media dollars to work through CTV specific supply path optimization. Innovid is already leveraging their power of AI to optimize business outcomes for our customers. Our capabilities help advertisers transform measurement insight into creative actions and highlight where they should be investing in future media dollars. Based on numerous performance signals, where we see our platform is delivering the optimal created within a campaign, all in real time and without human intervention. In Q3, we will continue to enhance our platform to allow customers to more effectively use generative AI in the creative workflow. As some of our customers already take advantage of the ability to drive dynamic messaging using generative AI. Supply Path Optimization, or SPO, is expected to have a positive measurable impact on both media efficiency and our industry’s carbon footprint. Our largest clients and partners are asking for our involvement to improve the CTV media supply path. And we are exploring how our platform can assist in the efforts to further optimize our customers’ business objectives, while minimizing the impact on our planet. This will benefit advertisers, publishers and the viewers alike. In summary, we delivered a solid quarter, including some key client wins and expansion, and we are also encouraged by some signs of firming in the advertising market. We are optimistic about our future growth and our ability to expand our [boat] as a leader in building critical technology for future of television. As our products are profitable at the core, the surplus in revenue flows through to the bottom line evidenced by our strong adjusted EBITDA results. We will continue to focus on profitable growth in 2023, while making investments with a target of achieving at least 10% adjusted EBITDA margin this year. I’ll now hand the call over to our CFO, Tanya Andreev-Kaspin, to discuss our second quarter results and updated guidance. Tanya?
Tanya Andreev-Kaspin: Thank you, Zvika, and good morning, everyone. As you just heard from Zvika, our dedication to driving profitable growth has been paying off. We beat the top range of the initial revenue guidance by 5% and delivered a 13% adjusted EBITDA margin. Our Q2 revenue grew 4% year-over-year to $34.5 million. As we previously shared, our focus this year is predominantly on the U.S. market, the leading global force in connected TV. U.S. revenue grew 7% and represented 91% of the total revenue. International revenue declined by 15% year-over-year and represented 9% of quarterly revenue compared to 11% in Q2 of last year. Speaking about our product segments, measurement revenues grew 10% and represented 23% of total revenue in Q2. As serving and personalization combined revenues were up 3% year-over-year and represented 77% of total revenue. As a reminder, Innovid’s ad survey and personalization revenue closely correlates with ad impressions volume served through our platform. Q2 CTV share of all video impressions volume grew 11% year-over-year and represented 51% of all video impressions. Last year, it was 50%. Mobile volume grew by 1% and represented 36% of all video impressions, while desktop volume grew by 17% and was 13% of all video impressions. As we shared last quarter, both mobile and desktop have declined in Q1, but this quarter’s trend reversal, especially in desktop potentially signals a possible stabilization in the advertising spend. Despite transitory trends, seasonal fluctuation and still lingering market uncertainty we expect CTV to continue gaining share of total video impression. Now moving on to expenses. Due to total operating expenses, excluding depreciation, amortization and impairment, were $35.9 million, reflecting a reduction of 13% year-over-year from $41.3 million last year. The overall improvement in operating efficiency was a result of the synergies implemented throughout the post-merger integration process following the acquisition of TVSquared as well as the reduction in force initiated last quarter. Employee count at quarter’s end was 450, a 24% reduction compared to the previous year. The overall cost reduction was partially offset by an increase of $1.3 million in hosting and data costs associated with the expansion of our measurement solution. and a $1.2 million increase in stock-based compensation. While the cost of revenues increased by $1.2 million year-over-year in Q2, the revenue less cost of revenues was 75% of revenues. This is an improvement from 73% in the previous quarter and down from 78% last year. Our margins are constantly improving. And as business scales, we believe we will eventually operate at our pre-acquisition margin level. Savings in OpEx also benefited from a reduction of $900,000 in onetime acquisition and IPO-related expenses been incurred a year ago. We prioritize operational efficiency, while also continuing to invest in the research and development and remain committed to driving innovation in the connected TV space. This quarter, we incurred an onetime noncash goodwill impairment charge of $14.5 million. This charge resulted from a decline in our share price and associated market capitalization, compared to the book value of our equity as of quarter end. I want to reiterate that the noncash goodwill impairment charge was used generally accepted accounting principles given the current market capitalization and does not impact adjusted EBITDA results. Q2 net loss was $19 million or per share loss of $0.14. Adjusted EBITDA was $4.5 million, representing a 13% positive adjusted EBITDA margin versus a negative 5% in Q2 last year. Quarter-end outstanding common share count was 138.7 million shares. When it comes to cash and capital allocation, we’re comfortable with our cash position and liquidity. We ended the quarter with $43.4 million in cash and cash equivalents and $20 million in debt with an additional $30 million available on our revolver. Finally, our outlook for the third quarter and the full year. In Q3, we expect total revenue in the range of $33 million to $35 million, representing minus 4% to 1% year-over-year growth. We expect Q3 adjusted EBITDA in the range of $3 million to $5 million. We are raising our full year guidance and expect total revenue for the full year in the range of $132 million to $136 million, reflecting 4% to 7% year-over-year growth on a reported basis. We expect the full year adjusted EBITDA margin of at least 10%, an improvement versus our previous full year guidance of at least 5%. In conclusion, when encouraged by our second quarter results and pleased that we are raising our full year guidance. Our team is working towards building an essential technology infrastructure for the future of TV advertising to remain committed to innovation and value creation for our customers and shareholders. Zvika and I are now ready to answer your questions. Operator, please begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from Shyam Patil of Susquehanna.
Jared Pomerantz: And congrats on the solid results. This is Jared on for Shyam. I had a couple for you, if you don’t mind. Maybe for starters, Tanya, if you could just unpack the outlook for the third quarter and fourth quarters a little bit further? Looking at the midpoint of the top line outlook, it factors in a bit of a deceleration, actually a sequential decline, so just any particular factors that you’d highlight there? Or is that more conservatism? And then stepping back to a wider ecosystem, Roku spoke to an ongoing collaboration with Shopify, if you’re stepping back from that, how would you characterize commerce on CTV overall at this point? And where do you think this is going over the longer run?
Tanya Andreev-Kaspin: I will take the first question and perhaps Zvika can also speak about the second part. As we given guidance, I did want to mention that we quite pleased with our first half of the year execution. And we are providing guidance for Q3 considering still certain uncertainties in the macro environment. What we’re still seeing some brands are not fully back to their usual spend. There are certain mix or in overall spending among different verticals. So that’s what our guide for Q3, particularly takes into the account. However, we were able, considering the first half of the year results to raise overall guide for the full year to the overall growth between 4% to 7% and even more importantly, to raise guide for the overall profitability. Meaning, we are guiding right now to at least 10% in adjusted EBITDA margin, which is an improvement from 5% last year. Zvika, you want to add on the second part, please?
Zvika Netter: Yes, for sure. So we’re very encouraged by seeing a lot of innovation, expanding innovation, in CTV that basically reinforces with Innovid has been innovating around and pushing for 15 years now, and that’s the future where since all television in the future will be content and advertising will be delivered over IP, the concept of interactivity and personalization is where we see the industry going. So this is a natural step to allow and to educate people about the ability to interact with ads also. And so technology that we built already allows commerce on television and the unique part about it is that since TV is very fragmented, you have Roku as a device, but you also have Samsung TV and Xboxes and Apple TV, our technology allows these type of capabilities across devices and across publishers. So for our customers, the advertisers, this allows us a scalable infrastructure to really take advantage of interactivity and personalization. And -- but definitely, we’re excited that some partners like Roku and Amazon and others are introducing this technology at scale and basically educating the market, and this is what will allow us to sell more of our techs. So this is very good news.
Operator: Your next question comes from Andrew Boone with JMP Securities.
Matthew Condon: Matt on for Andrew. Congrats on a great quarter. Two if I could, please. Can you just talk about, obviously, your 2 key investment themes for the rest of the year in generative AI and CTV with SPO. Can you just contextualize those investments that you’re making? Obviously, it’s great to see the adjusted EBITDA guide higher for 2023. But can you just give us a little bit more color specifically on what those investments are and just the magnitude of them. And then also maybe backing off onto last question, can you just [dye] the personalization market within CTV for us today? And then what’s preventing further adoption right now?
Zvika Netter: Sure. So first of all, yes, I mean, we are very excited about doubling the guidance for EBITDA for the total year from 5% -- from at least 5% to at least 10%. And this is based on our commitment to drive profitable growth this year and run a very efficient tight operation as shared by the results also in the second quarter with 13% EBITDA. So that does not mean that we’re not investing heavily and continue investing heavily in product and innovation, that’s our DNA that’s what we’ve been doing for 15 years. So first, actually, one of the significant investment that is not stopping is measurement actually. Measurement grew 10% this quarter, which is great. This is a very large strategic acquisition, an investment for the next many, many years as we see significant transformation in the how TV, now CTV, is being measured, reach frequency outcomes. So this is a huge focus. And I would say that is a significant part, the largest part of our R&D and product and innovation is actually around measurement, which also connects to AI and SPO, which I’ll touch in a minute. So that’s a big investment. What we’re saying here are comments here that in the second half of the year, we are also expanding in 2 areas. One is artificial intelligence, AI, which is not something new to Innovid, as we presented, I think, more than a year ago, we have an AI engine, the machine learning that looks at the outcomes, looks at the measurement component and the outcome and then optimize the creative version. So if you look at -- you asked about personalization. So it’s not just personalization based on audience data now with the used set of AI. We can look at outcomes and optimize in real time, the right creative to the right audience based on what actually happens. So that loop, that engine is something that keeps improving and optimizing and this is where we want to invest more. And the other, we were definitely looking into generating AI like everybody else. And we’ve been really excited about some of the -- some of the campaigns that our customers have been using our technology combined with generative AI to do generative messaging and some unique asset creation. So in that area, on the generated AI, there will be more workflow. So how do we better integrate these type of technologies into our workflow. So when our customers want to take advantage of this technology, it’s an easy -- they’re already doing it, but it will be much easier to do it. So that’s very encouraging. On the supply path optimization, we -- because if you think about our delivery infrastructure at survey, we sit in a very, very unique place in the ecosystem in the stack, that we’re basically delivering all impressions, all CTV ads to programmatic, non-programmatic, open web, walled gardens, we see everything, right? And there’s a strong trend these days about the marketers, publishers that are looking to run a more efficient process, especially around CTV that has unique characteristics that are different than, let’s say, display advertising. So everybody is looking to run a more efficient process to put more money into actually working media and to dramatically drop the carbon footprint. So based on that, based on our position and our relationship with our customers and our partners, we’ve been asked to see if there’s ways that we can improve on those. So we’re very excited to do that. And last question, I believe, was sizing in the personalization market. We’re definitely seeing growth there. I’m zooming out like the last 3, 4 years. We’re definitely seeing the use of data, the understanding of data, understanding of optimization of AI is pushing forward the idea that you can run different creative versioning to different audiences. Concept has been around forever, but we’re seeing more and more usage of that. To your question, what’s delaying the growth, I would say from a scale perspective, I would say in regards to the Innovid, I’d say about like 7% to 10% of the ads you see out there actually have a creative decisioning in them, not just the media decisioning but a creative decision specifically from the same brand. Again, we think it should get to 100%. The delays in that is a lot of the -- it’s the workflow. So it’s basically the creative agency, working with the media agency, working with the data providers altogether. And the real champion for that to actually see adoption and growth are the brands, not necessarily the agencies. Brands actually can tell, can set the strategy and tell their partners, the media agency, the creative agency and whatever data infrastructure they’re using we would like from now on, we would like to start experimenting. We would like to execute our campaigns, not just to buy media programmatically or based on audience, but actually tailor the creative to the right audience. And that is what’s driving it. So the more deals we’ll do -- we are doing with brands and more that the strategy makes sense to marketers the faster this will move.
Operator: [Operator Instructions] Our next question comes from Matthew Cost with Morgan Stanley.
Unidentified Analyst: This is Chloe [ph] on for Matt. Just to start, around cloud costs, I noticed you mentioned an increase there. I’m just curious sort of how you’re thinking about those going forward as you continue to ramp through what you’re doing on the generative AI piece? And then second, with the supply path optimization, that’s a really interesting piece of it, how do you think and how do you see that product potentially scaling into ‘24? And what might be the potential upside on a monetization perspective for you if that takes off?
Zvika Netter: Tanya, do you want to take the first question?
Tanya Andreev-Kaspin: I couldn’t hear the first part of the question, if you can repeat the first sentence?
Unidentified Analyst: Yes, I’m sorry -- just on cloud costs. You mentioned in the prepared remarks that those have increased a little bit this year. And we’re curious, how do you see that ramping potentially? Or where are the levers as you continue to use more generative AI and different capabilities in your products?
Tanya Andreev-Kaspin: Of course. As Zvika mentioned, we are using -- we are starting to use generative AI across the board to improve efficiencies. What is really interesting, when you look at our expenses overall throughout the year and throughout the quarters. You are seeing improvement across the board in all departments. R&D, sales and marketing, G&A, we implemented certain synergies starting earlier this year. And part of it is really leveraging technology. We’re really excited about that moving forward, and we believe it will be reflected in our margins improving even further beyond what we demonstrated so far.
Zvika Netter: And I would add to that also, there’s the measurement business and the cost of data and data processing for the measurement regardless of the amount of revenue, and that’s the cost that’s higher. What’s the nice thing about it, the more scale we’ll have and the more usage of measurement, that cost will be fixed -- that part of the cost will be fixed. So the margin -- that’s how we expect our gross margin to continue to grow over time as we scale that part of the business.
Tanya Andreev-Kaspin: This is excellent point. Our business have a significant operating leverage and improvement even quarter-over-quarter that you saw in cost of revenues. And revenue -- cost of -- revenue less cost of revenues already improved to 75% this quarter from 73%. We will be seeing it constantly improving moving forward, specifically for the operating leverage of the overall business.
Zvika Netter: Now to your question about supply path optimization. Yes, indeed, this is a very exciting part of the industry and the focus of the industry regardless of Innovid, there’s a serious conversation in how things could be done in a more efficient way, both in terms of cost and also in terms of carbon footprint, which is a big initiative for the industry. Because -- and the way this is unfolding is because that we are positioned in a very, very, very unique place in terms of the scale in CTV, it’s basically Google, in terms of Google Campaign Manager, which obviously, they are deep in the media business. And Innovid, who’s a fully independent Zeromedia, business, no buying, no selling, but we have that the ad server actually sees everything. So it’s not just the programmatic. We also have indirect component of the deals with the publishers the programmatic side, the walled gardens, the open web. So we see everything. We have all the data. We also have measurement, right, so -- and decisioning engine. So we have all these components. So what our customers are asking us is to since we have integrations with the DSPs and the SSPs and all the publishers, because we’re an ad server, we have to be everywhere. We’re been asked is, are there things that we can do from a workflow perspective and work stream perspective that will minimize the amount of processing power and the amount of hoops that an impression needs to jump in order to get to deliver to your home to your screen. And this is where we’re exploring and that’s our -- here is that we’re exploring that with our customers and partners if there are ways that we could participate and provide a better process and a better environment for all of us. So this is where we are now. And if and when it will have an impact on our offerings and our financial, et cetera, we’ll make comments on that, but it’s definitely an area that we’re excited about and our customers are also.
Operator: Your next question comes from Shweta Khajuria of Evercore ISI.
Shweta Khajuria: Okay. I just have a high-level question for Zvika. How should we think about the volume growth for the back half of this year, especially for the back half of this year? And then in the near- to mid-term as you think about next year, so understood on CPMs and that’s not impacting your business, but volume does. So where do -- what are the biggest drivers you see -- and how are you thinking about that?
Zvika Netter: Sure. Shweta. So basically, we’re very excited, and that’s a constant tailwind that we don’t expect to change from a directional perspective, and that’s the growth for CTV. More and more people are consuming and watching content through an IP connections with the Internet, no matter what device, no matter what platform that is growing the usage of what’s called -- like AVA or fast ad-based streaming television is increasing also -- so the usage of ad-based price increases. So in that perspective, we’re extremely encouraged and excited about. And what’s interesting that in spite of a relatively kind of cooler environment from an economical perspective and ad spending perspective, CTV continues to grow. This quarter, I believe, it was 10% in terms of impressions. We believe in a normal kind of none -- this is while the overall budgets are lower than usual than the normal year. So clearly, once there is a positive change in the environment, we should absolutely see significant acceleration in growth in terms of CTV volume, which will lead to top-line growth and a significant expansion of our margin. Actually, I would say both gross margin because of fixed cost and definitely, definitely the EBITDA as we’re already demonstrating. And the current environment is -- it depends on -- there’s some verticals like CPG that’s still kind of pushing forward and growing nicely. And there are other verticals like tech, financial services, and I believe other companies that are strong in the CTV space, a little bit also that are lowering budgets. But from a sales perspective, in terms of new logos, upselling measurement, upselling personalization, all these trends continue to be strong regardless of the overall volume. So we’re, again, seeing -- we’re seeing a cooler environment than a normal year. And that’s -- to your question on the second half, we’re seeing -- definitely, Q2 is better than we thought it will be in Q1. We still want to be very cautious in terms of the environment we’re in. Some people will expect a better second half, we would like that based on what we’re seeing to provide the guidance based on what we’re seeing right now. And clearly, you asked about next year. The second of that will be, the recovery will start and the large advertisers that are using our platform, they’re always on. So it’s just the second they start investing more, you’ll see those numbers climb up into the right, both top line and bottom line also.
Operator: Your next question is a follow-up from Shyam Patil of Susquehanna.
Jared Pomerantz: This is Jared on for Shyam again. I know that you just touched a bit on verticals like CPG and tech and financial services. But I was hoping that you could dig a bit further into what you saw on the vertical front this quarter, any specific pockets of either a strength or a relative weakness here? And then in the letter, you highlighted some auto wins with the likes of Mazda U.S., American Honda, I’m just hoping that you could dig a bit further on what you’re seeing with auto advertisers in particular at this point?
Zvika Netter: Sure. I’ll start with the latter in terms of definitely the auto, and I think it’s connected to a question that you asked or somebody asks about the personalization, dynamic creative and that kind of stuff. So I would say that the auto is definitely strong innovators. They’re like a classical iconic customer for Innovid. And we -- I would argue that we have -- in the auto vertical in the U.S. we have more customers for technology in ad serving than even Google from a market share, from a footprint perspective. That’s -- we mentioned now Mazda and Honda U.S., but we also have GM and Chrysler, Mercedes, and many, many others. The reason for that is the concept of addressability of local dealership, local availability, local promotions. So from a usage perspective of using data to personalize and localize ad to the right ZIP code based on the inventory. So data connection for infrastructure and personalization, daily rendering of thousands of full HDTV ads showing the right model based on audience data. These concepts are very straightforward and make a lot of sense to auto manufacturers. So from that perspective, we’re definitely seeing more and more logos closing with us and moving from Google to Innovid and taking advantage of technology. At the same time, clearly, the economy is impacting large everybody in a way some verticals in a different way. So while you might see -- you may see increased adoption within a vertical of our ad server and delivery platform plus creative, at the same time, you might even see for that specific vertical, a decrease in volume and hence decrease in revenue year-over-year. The key thing is that once there is a recovery and that advertiser continue goes back to investing in TV, it’s -- you’ll see a spike because they’re already using the advanced technology and just it’s a volume game, right? So those type -- without getting too specifically this vertical is up or down, once this happens, it is impacting our revenue and margin on the short term. But clearly, the TV advertising industry has been around for, what, 80 years, brands, these type of brands, the auto, the pharmas, the financial services, CPGs, have built their business based on TV advertising. It’s a $200 billion industry that’s not going anywhere. And actually consumption is going up into the right on CTV, ad-based consumption, right? So from a -- this is where -- it kind of -- if I will summarize it, we’re -- this year, we’re focusing on profitable growth. I mean, [I’m shook] we’re growing, but we understand it’s a challenging year. So we want to demonstrate that even in this environment, we can produce a nice growing healthy EBITDA margins, and prepared in and close more business and educate the market and innovate more because once the recovery comes in and I cannot guarantee when that will be, we’ll see a very different profile in terms of top line and bottom line.
Operator: [Operator Instructions] Your next question comes from Laura Martin with Needham.
Laura Martin: Actually these margins are really terrific. When you think about the role of generative AI and AI and driving margins, do you see that the role of generative AI in one, upside, or on the downside? I mean, on the cost side, in terms of benefit, when you think about how you’re using new techs?
Zvika Netter: Absolutely. Thanks, Laura. Absolutely on the upside. I mean this is a very exciting -- and what I like really about it, is we are -- Innovid is a technology company. Innovid stands for innovation in video. We’ve been investing in just less tech -- the core were a bunch of geeks, right, that really are excited about leveraging new advanced technologies. So none of these things are like super new concept to us. And we’ve been taking advantage of AI not specifically generative AI already for years. Now to your question in terms of cost, so if there are 2 areas, right? One area is optimization, right, is using the very unique data set that we have is in the asset we were sitting on really phenomenal and unparalleled except Google view of what’s going on in the world of CTV, more than the DSPs, more than specific publishers, more than walled gardens because we see 100% of what a specific brand is delivering. And I’m saying like, we see it for that specific if you’re an audio -- auto company, we see everything you’re doing, everywhere and every household. So the ability to use AI from that perspective on entrepreneur-zation, you’re asking about the ROI is the ROI is very, very high because you can reduce waste and improve performance based on outcomes. So that’s a very positive ROI to implement AI, and that’s something we’re investing even more so. To your question in terms of generative AI for creative, creative messaging and creative -- actually creative video and images, that is definitely something that’s a heavier cost. And from that perspective, the way we’re expanding our platform in the second half is to allow to insert that to the workflow not replacing creative agencies, not giving somebody click a button news and ad. We don’t think that’s realistic in the short term. But allowing the agents -- that’s actually, I have to say, surprised us that we already saw that some brands are already using these tools, combined with our tools, but in somewhat of a manual perspective. What’s going to happen in the second half, we’re going to integrate that into our workflow. The cost will be beared by the customers, not us. They will have to use their accounts. They will have to generate whatever they want. The way it will -- the data will flow into a generative AI API and come back into our platform, that is work we’re going to automate. So we’re not going to see -- we don’t expect to see any increased cost -- and definitely, we expect to have actually a more efficient process for our customers and for us. So -- and the last comment I would say, within our system, ad serving measurement, these are labor-intensive on the agency side, not on the Innovid side. So clearly, we see automation -- further automation of certain processes that will allow the process to be more efficient and have less hands on keyboard for that stuff. So that’s kind of the third area that we see innovation. All these things should absolutely increase our efficiency and our bottom-line margin.
Operator: At this time, it appears there are no further questions. I’d like to turn the call back over to Zvika Netter for any closing remarks.
Zvika Netter: Sure. Thank you, everybody. Thanks very much again for joining us today. Thanks for the wonderful questions. I’m excited to see that there are like lively question about more innovation, more efficiency and the fact that we can somehow reduce the carbon footprint in our world is -- it’s an added bonus. We delivered a solid quarter driven by CTV and measurement growth, which we expect to continue. We had some key client wins and expansion of existing customers, some really nice deals there. So a great momentum there. I’m encouraged to some of the signs that we are seeing firming in the advertising market, it’s still somewhat volatile, but we are seeing a positive trend that quarter-over-quarter, we’re seeing a better environment than we had in the beginning of the year. So that’s good, but we still want to be cautious. And we will continue to focus on product innovation. We talked about that today, scaling our sales operation, adding more talent, more efficiency in terms of how we run our marketing and sales organization and of course, focus on profitable growth. I look forward to continuous conversation and update you on our progress on all these fronts. Have a great day. Thank you.
Operator: Thank you, everyone, for attending today’s Innovid second quarter earnings call. This concludes today’s call. Have a great rest of your day.